Operator: Hello, ladies and gentlemen. Thank you for standing by. For Emeren Group, Ltd. Fourth Quarter 2024 Earnings Conference call. Please note that we are recording today's conference call. To ask a question during the session, you need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To assure your question, please press star one one again. I will turn the call over to Gary Dvorchak, Managing Director of The Blue Shirt Group. Please go ahead, Mr. Dvorchak.
Gary Dvorchak: Thank you, operator, and hello, everyone. Thank you for joining us today to discuss the fourth quarter and full year 2024 results. We released our shareholder letter after the market closed today, and it's available on our website at ir.emerengroup.com. Also provided is a supplemental presentation that's posted on our IR website that we will reference during our prepared remarks. On the call today are Mr. Yumin Liu, Chief Executive Officer, Mr. Ke Chen, Chief Financial Officer, and Mr. Enrico Bocci, Executive Vice President of Europe. Yumin and Ke will provide an overview of our business performance and financial results, followed by a Q&A session, during which Enrico will also be available to answer questions. Before we continue, please turn to slide two. Let me remind you that remarks made during this call may include predictions, estimates, or other information that might be considered forward-looking. These forward-looking statements represent Emeren Group's current judgment for the future. However, they are subject to risks and uncertainties that could cause actual results to differ materially. Those risks are described under risk factors and elsewhere in Emeren Group's filings with the SEC. Please do not place undue reliance on these forward-looking statements, which reflect Emeren Group's opinions only as of the date of this call. Emeren Group is not obliged to update you on any revisions to these forward-looking statements. In addition, please note that all financial numbers discussed on this call are unaudited. Also, please note that unless otherwise stated, figures mentioned during the conference call are in US dollars. With that, let me now turn the call over to Mr. Yumin Liu. Go ahead.
Yumin Liu: Thank you, Gary, and thank you everyone for joining today. Let me start with a brief overview of our Q4 and full year results before discussing our business outlook and key financial catalysts. After that, Ke will take you through a detailed breakdown of our financial performance and 2025 guidance. 2024 was a year of resilience, disciplined execution, and strategic growth for Emeren Group. Despite currency headwinds and project sale delays, we successfully monetized renewable energy assets, expanded our energy storage footprint, and generated positive free cash flow in Q4. Our IPP and DSA segments provided high margins and stable cash flows, while strategic project monetization strengthened our financial position. For the full year, we generated $92.1 million in revenue and $24.1 million in gross profit, with a 26% gross margin. We reported an operating loss of $0.5 million, while non-cash and unrealized foreign exchange loss resulted in a $12.5 million net loss attributed to Emeren Group. However, operating cash flow improved significantly towards breakeven, reaching $4.2 million compared to a net $23.4 million a year ago. Adjusted EBITDA rose to $6.9 million, demonstrating disciplined financial execution. Turning to Q4 specifically, we maintained strong financial discipline and cash flow generation, delivering $34.6 million in revenue and $4.8 million in gross profit, with a solid 14% gross margin. While foreign exchange losses due to US dollar strength impacted net income, our operating loss improved by 35% year over year in Q4, reflecting strong cost control. We also generated over $5 million in free cash flow in Q4, reinforcing our strong liquidity position. Our capital-light model and early-stage monetizing strategy continue to support financial strength. We ended the year with $50 million in cash, up 40% sequentially, positioning us well for growth in 2025. With a strong pipeline, expanding energy storage initiatives, and disciplined execution, we are positioned to scale profitably and drive long-term shareholder value. Turning to our key milestones in Q4, we successfully closed several strategic transactions, further solidifying our leadership in renewable energy monetization and energy storage across Europe, the US, and China. In Europe, we successfully completed the COD sale of our 17-megawatt solar project portfolio in Poland, with 50 megawatts under our PPA, reinforcing our strong foothold in the region. We also expanded our energy storage footprint in Italy, executing a 462-megawatt DSA for battery energy storage systems with Appinja, further strengthening our leadership in the growing energy storage market. Additionally, we finalized the sale of 65 megawatts of solar projects in Germany to China through a mixed DSA/SPA structure, underscoring the strength of our development partnerships. In the United States, we made further progress in distributed generation by closing the COD sale of our 2.8-megawatt community solar project to Altus Power, demonstrating our ability to capture opportunities in the US community solar market. Meanwhile, in China, we advanced our energy storage strategy with the successful commissioning of 18 megawatt-hours of BESS projects, which are now fully integrated into Hanoi Power International's virtual power plant platform. This integration enhances grid stability and further strengthens our presence in China's evolving energy storage sector. These achievements highlight our ability to execute across multiple regions, efficiently monetize projects, and expand our renewable energy portfolio while reinforcing contracted cash flow generation. Now turning to our core business segments, our high-margin DSA model remains a key driver of stable revenue and early-stage project monetization. In 2024, we recognized $19 million in DSA revenue, primarily from Italy and Germany. As of year-end, we had DSA contracts with nine partners covering 40 projects totaling over 2.8 gigawatts, with approximately $84 million in contracted revenue expected to be realized over the next two to three years, as well as more than $100 million in uncontracted revenue currently under negotiation. Meanwhile, our IPP segment played a crucial role in supporting stable cash flow, contributing 31% of the total revenue and 64% of the total gross profit. In Q4, we optimized our portfolio across Europe and China, while further advancing energy storage integration to enhance long-term profitability. Complementing these efforts, our solar development business continued to generate strong monetization opportunities. In 2024, we successfully monetized about 200 megawatts of solar PV projects across Germany, France, Spain, Poland, China, and the US, alongside 1.3 gigawatts of BESS projects. These achievements reinforce the strength of our capital-light development model and our ability to efficiently recycle capital for future growth. Looking ahead, we remain very confident in our ability to execute our growth strategy and drive profitability in 2025. While project sales timing delays impacted Q4 revenue recognition, these projects remain on track to close in the first half of 2025, reinforcing near-term revenue visibility. Key drivers for our 2025 financial outlook include our strong contracted revenue base providing a solid foundation for future growth. We have $84 million in contracted DSA revenue, with an additional $100 million under negotiation, strengthening long-term cash flow visibility and revenue stability. Overall, with 75% of our DSA pipeline concentrated in Europe, we are positioned to capitalize on demand growth across key markets. Building on this momentum, our high-margin DSA and IPP businesses continue to generate strong gross margins and predictable cash flows, supporting sustainable and profitable expenses. Additionally, our robust monetization pipeline positions us well to capitalize on growing market demand. With approximately 4.3 gigawatts of advanced-stage storage pipeline and 2.4 gigawatts of solar PV projects, we have a clear path for long-term growth in key regions. Further strengthening our outlook, the opening of China's merchant power market in 2025 presents a significant opportunity. Our BESS assets are strategically positioned to capture new revenue streams through energy arbitrage, reinforcing our leadership in energy storage and grid services. With that, let me turn the call over to our CFO, Ke Chen, to provide a more detailed breakdown of our financial performance and 2025 guidance.
Ke Chen: Thank you, Yumin. And thanks everyone again for joining us on the call today. In Q4, we delivered $34.6 million in revenue, down 23% year over year, primarily due to project delays pending government approvals. Our revenue surged 169% quarter by quarter, driven by successful project monetization. While timing delays in the US and Europe impacted Q4 revenue recognition, these projects remain on track to close in the first half of 2025, providing strong near-term visibility. Gross profit was $4.8 million compared to $5.6 million in Q3 2024 and $5.1 million in Q4 2023. Gross margin was 13.9%, down from 43.8% in Q3 2024, but up from 11.3% in Q4 2023. The year-over-year improvement reflects the continued strength of our high-margin IPP and DSA business. Operating expenses were $9.2 million, up from $3.5 million in Q3 2024, but down from $11.8 million in Q4 2023. The annual decline was primarily due to reduced write-offs and the absence of asset impairment losses. Net loss attributable to Emeren Group Ltd. common shareholders was $11.8 million, compared to net income of $4.8 million in Q3 2024 and a net loss of $2 million in Q4 2023. The increase in net loss was primarily due to long operational foreign exchange losses. Diluted net loss attributable to Emeren Group Ltd. common shareholders per ADS was $0.23, compared to diluted net income of $0.09 in Q3 2024 and a diluted net loss of $0.04 in Q4 2023. From a cash flow perspective, we generated $10.4 million in operating cash flow and over $5 million in free cash flow, further enhancing our financial flexibility. Cash used in investing activity was $5 million, and cash provided by financing activity was $2.8 million. We ended Q4 2024 with $50 million in cash and cash equivalents, up 40% sequentially from $35.8 million in Q3 2024, reinforcing our strong liquidity position. Our debt-to-asset ratio at the end of Q4 2024 was around 11.2%, compared to 10.2% at the end of Q3 2024. The majority of our debt was non-recourse project financing. In 2024, Europe contributed over 70% of our total revenue, and China contributed 19%, both generating positive operating cash flow. We are seeing strong execution and steady growth in both regions. Turning to our 2025 outlook, we expect full-year revenue to be in the range of $80 to $100 million, with a gross margin of 30% to 33%. IPP revenue is anticipated to be between $28 and $30 million, with around a 50% gross margin. DSA is expected to contribute $35 to $45 million in revenue. IPP and DSA are expected to contribute over 70% of total revenue in 2025. Additionally, we anticipate achieving positive operating cash flow in 2025. For the first half of 2025, we anticipate revenue in the range of $30 million to $35 million, with a gross margin of approximately 30% to 33%. With that, let's open up the call for any questions. Operator, please go ahead.
Operator: Thank you. Wait for your name to be announced. To withdraw your question, please press star one one again. The first question comes from Philip Shen of ROTH Capital Partners. Your line is now open.
Philip Shen: Hey, everyone. Thanks for taking my questions. Wanted to talk about the 2025 guide. Specifically, can you share what the mix is between DSA revenue and IPP revenue and if there's any other revenue in the third bucket? Thanks.
Ke Chen: Philip, we just talked about this. IPP revenue will be between $28 to $30 million in 2025, and we did mention the gross margin will be around 50%. DSA revenue will roughly be between $35 to $45 million, so added up, IPP and DSA will contribute almost 70% of our revenue.
Philip Shen: Great. Sorry I missed that. And you talked about how there's another incremental $100 million of DSA revenue that you're negotiating now. Do you have a sense for what the geographic mix of that DSA revenue is? Is it also European concentrated? And then do you expect high margins for that incremental $100 million? And when do you think you could start to close the bulk or majority of that $100 million? Is that in the coming months, or do you think it might take most of 2025 to secure the $100 million? Thanks.
Yumin Liu: We target to close all of them within this year. And a couple of them or several of them are in the final stage to be closed within the next two to three months. And more is coming. As you see, we do have a very welcomed product pipeline on both solar and storage. We have built up a strong track record on the DSA petition, and that is why we are super confident in our 2025 guidance. Two reasons: One is, as Ke mentioned, that 70% of the revenue and margin will be coming from the contracted IPP and DSAs. Another confidence is coming from the to-be-built PSA positions. At least five to six contracts are being finalized and to be inked in the next two to three months. And more are coming. Yeah, Philip, in terms of breakdown, I think Europe will be around 70%, and the US will be 30%.
Philip Shen: Great. Okay. And then can you talk about the types of counterparties for the $100 million that you're negotiating? Are there any repeat customers or partners? Are they mostly new customers and current counterparties? Thank you.
Yumin Liu: I think it's about half. Our existing customers are repeated, and another half are the new customers.
Philip Shen: Okay. That's good. And then for 2025, sorry if I missed this, but did you guys share what your cash generation or free cash flow outlook might be? If you haven't, perhaps you can give us some closing thoughts.
Ke Chen: We are certainly talking about the expectation of positive operating cash flow internally. So we ended 2024 with $50 million. So we truly believe we should have a higher cash balance at the end of 2025.
Philip Shen: Okay. Great. Thanks for taking all my questions. I'll pass it on.
Yumin Liu: Thank you, Philip. Thanks.
Operator: Thank you. As a reminder, wait for your name to be announced. This is the last call for questions. To press star one one on your telephone keypad, just one moment, please. We have a follow-up question from Philip Shen. Your line is now open. Philip, did you have a follow-up question?
Philip Shen: Yes. Can you guys hear me?
Yumin Liu: Yes.
Philip Shen: Great. Okay. So let's talk about the delays. You know, you've consistently had a number of delays that unfortunately result in expectations or results that are weaker than expectations. So do you think the delays in Europe and the US for government approvals and so forth, do you think we've seen the worst of it? Or do you think it could get worse from here? And if we've seen the worst of it, how much could it improve? Do you expect to see improvements in 2025, or do we have to wait for 2026? Thanks.
Yumin Liu: This is a very good and interesting question. What we see here is that, for example, in Spain, we could not close the deals as of the government approval. Those two major transactions, we could not close. None of them. And one of them, we already waited for 18 months. And we still have not got it. But there is a deadline. The government published guidelines for 12 months and additional three months, and the deadline is coming. And we see that it is pending in less than three months. So that is one thing. I see that the European governments are moving faster, as, for example, Spain. They have to have strong supporting policies to support renewable energy, including storage. That's one example. The only uncertainty we could not foresee is in the US. But the good part is our DSA structure. Also, let me comment on another one on the European DSA structure. You know, we normally split the DSA payments into three to four milestones, or sometimes even five milestones. As we go through all the milestones in 2025, I mean, this year, we do see the impact from the government approvals on the DSA milestones is very minimal. That's why we have the certainty or high confidence we will deliver in 2025. Interconnection approval delays in the US are expected. But most PSAs we are signing in the US, we are expecting only milestone one payments in 2025. Some expect milestone two is related to interconnection approval. And we are guiding them and actually want to be signed within these months, next two weeks. So we see in the future maybe the government in the US slows down the process of approvals that may impact our 2027-2028 PSA milestone payments, but we don't see near-term impacts, even in the US.
Philip Shen: Okay. Very nice. Add to that, in the US, we also have this community solar segment, which we believe we are moving along despite the federal uncertainty. Community solar still gets approved as normal. So we think those projects we have in our pipeline, we will see that execution in 2025.
Philip Shen: Okay. So remind us, for your US projects, what percentage is community solar, and then what percentage might be larger scale in the 100 to 200-plus megawatt level?
Ke Chen: From a megawatt size, utility scale size is a lot bigger, and the community solar size is a lot smaller. So it's hard to really make the monetary adjustment or predict the financial results from the megawatt numbers. Especially the margin on development fees for big deals will be normally in single digits, and community solar is several times or many times that margin. So on the megawatt side, I will say the total utility scale compared to community solar, I will say 80/20.
Philip Shen: So 20% community solar and 80% utility scale. Got it. So for the utility scale solar that's not community solar, do you have any AI or data center type customers, hyperscaler type customers, that you are currently working with or that you plan to work with in future DSAs, for example?
Yumin Liu: We do have some assets in those hot data center spots. And we are building our internal expertise on data center power supplies/data center power management. And on that part, we try to combine our developer head, which is we talk about we are literally a developer. And start from a land developer. And then we are also a developer supplying power to our customers. These two together literally, we are a natural fit to support the data center demand. So in-house, we are building that expertise. Especially we are doing the analysis in detail to understand the data center demand and AI demand from the power supply point of view. Great. So Thank you. That is also another point. We have several projects in those hot spots. That is also why some customers are looking at them and trying to sign the DSA with us.
Philip Shen: What percentage of the US market is working with DSA frameworks? Do you think it's still very small?
Yumin Liu: It will not be small anymore. I will say that it quickly can go as big as one-third to 50% of our entire portfolio.
Philip Shen: Right. I mean, it's big for you, but, I mean, for the overall market. Is it becoming more common for the rest of the market? Or is it more...
Yumin Liu: I personally don't think so. The reason is, as a listed company, we have to provide numbers to the investors on a quarterly basis. So naturally, it's not really advantageous for us to wait for several years to really finally monetize. That is why in the last 18 months, we strategized the whole operation of the company and put up the DSA strategy across the board. And we are signing many DSAs, as we must see in this script, in Europe, and we will be signing more. But as now, we see that people are actively signing, but when the new market is coming, we see within the next 12 months, the market will be in favor of renewable energy and battery storage. I think we don't need to sign DSAs anymore.
Philip Shen: Okay. Got it. That applies to many other developers too. Interesting. Thank you. Maybe one more, and I'll pass it on. As it relates to power prices, what is the base case? Maybe talk about the top three countries in Europe. What's the base case you have for those end markets? We hosted a webinar with WoodMac recently, and the outlook for retail power prices in Europe, in general, was maybe a little bit of an increase in 2025. But then maybe it's flat or down even for 2026 and 2027. And so do you expect power prices to remain kind of at current levels, or do you see upside? Or what's your base case as you develop these projects and sell against them? Thanks.
Yumin Liu: We have IPP operation or the COD solar assets in two countries now, in Hungary and Poland. And we also definitely have in China. China is stable. The power price is stable. And in Europe, we see the price remains to be very nice compared to before COVID or before the war. But we do have noticed that in some countries like Spain, the price is going down in the last 12 to 18 months. And it goes down from as high as 8 to 9 cents or 8 to 9 cents per kilowatt-hour to all the way to below 3 cents. And even corporate PPAs only give you about 3.5 to 4 cents. But in general, the European market is a lot nicer than the US market. The beauty of the US is we still enjoy the tax equity of 30% or 40%. And that helps. While US tariffs, as you know, you know better maybe than I do, that we are looking at 4 or 5 cents or even higher.
Ke Chen: Oh, Philip, I just want to add, our Broadstone project in the UK is under a strong PPA still. It's much higher than the current merchant price in the UK. So that's the advantage that we have with this strong PPA.
Yumin Liu: With our Broadstone project.
Philip Shen: Thank you for taking all my questions.
Yumin Liu: Thank you, Philip.
Operator: Thank you. Just one moment for our next question, please. Our next question comes from Samara Joshi from HC Wainwright. Your line is now open.
Samara Joshi: Great. Thanks. Hey, Yumin. Thanks for taking my questions. So the range for the range of top-line expectation for this year, the DSA seems to be like a wide range of $10 million from $35 to $45 million. What are the let's like, what will it make? How will it be at the lower end versus the higher end? Are there projects, big projects that you expect to materialize, and timing is an issue, or are there some other things at play?
Ke Chen: I think the range is because accounting will have to really sell the project, like we said, is GSA/SPA. So we have to treat this differently. It's SPA and DSA. So that's why there is a big range. I believe that's the major reason. So it's mainly an accounting category.
Samara Joshi: Okay. Understood. And then the push out of the project from this year into the fourth quarter into next year or rather the fourth quarter into the first half. Do we know what the size of those projects was? Like, if those had materialized, what would the revenue have been for the fourth quarter?
Ke Chen: I think it's around $10 million. Yeah.
Samara Joshi: Oh, okay. In terms of it's a pretty big chunk.
Samara Joshi: Okay. And then, also, like, the outlook for gross margins. I think you mentioned the gross overall gross margins, the IPP gross margins, but I don't think guidance for DSA gross margins was provided. Is there a reason for that? And does it depend on project to project? Or how should we look at that DSA segment gross margin?
Yumin Liu: In general, as you may understand our DSA milestone payment structure, in a normal case, the early milestone payments have lower margins, and later milestones will have higher margins. For example, we normally try to book our costs in the first two milestones. So the margin in the earlier payment or early years of the DSA will be lower. And that puts our 2025 margin for the DSA, the new ones, lower.
Samara Joshi: Got it. You see my point?
Yumin Liu: Yes. I understand. You know, we mentioned we have $84 million remaining in DSA contracted revenue. We already recognized $19 million. At $19 million, we recognized in 2024, has a lot lower margin compared to the $35 to $45 million we are building in 2025. I will say that at least half of the $35 to $45 million margin expected in 2025 will generate higher margin, and the other half, as they are newer or they are milestone one payments, that would be a lower margin.
Samara Joshi: Yeah. Yeah. No. That was a good explanation. Thank you for that. And one last one, I know Philip also asked about this, the $100 million that you are additionally negotiating. Is there a possibility of upside from those projects, like, if you sign those in the next few months, is there any possibility that your revenues for 2025 will be able to recognize some of those revenues, or is it too early?
Ke Chen: We learned the lessons in the last couple of years. We try to understand the market and also precisely make the predictions or guidance for numbers. The DSA on the revenue and the pricing of the DSA we are going to close, let's say, within Q2 this year, the next three months, the price there, the revenue expectation is there, for the milestone one payment. And those cover about five to six DSAs to be signed. But the potential upside may come in the DSAs we are negotiating to be closed in Q3 or late Q2 or June, July, August time frame. Right?
Samara Joshi: We do see the possibility that that could provide an upside as more DSAs will be coming as the $100 million expectation if we successfully signed all $100 million, the milestone one payment will absolutely help the 2025 revenue.
Samara Joshi: Understood. That's good. That's good. Only in the guidance, we only consider part of it. Which literally speaking, the ones to be closed within the next two months.
Samara Joshi: Got it. Understood. And then just actually, this probably will be the last one. Is there a mix of BESS versus only PV that you are looking at? Maybe different in different geographies, or how do you see the project mix in your pipeline?
Ke Chen: It's a whole mixture. As you see, we presented earlier that we started our storage business initiative over two and a half years ago. And the point is almost every single country we have storage assets. And PV, either big or small, normally big ones in the US and in Europe, we try to sign DSAs. And smaller ones, we try to do it all the way to NTP and sell that at a totally risk-free format and make a higher margin.
Yumin Liu: Gotcha. So, you know, I think that you would definitely see more storage from the US because we launched the first storage in the US here. You will see more in the US. Definitely, again, we have a strong pipeline both from solar and storage. And then you will see more from different countries in Europe. We talk about Italy a lot, but you see we launched Germany, France, so you will definitely see more from different countries and also again, it's a good mix of solar and storage.
Samara Joshi: Got it. Thanks a lot for taking my questions.
Yumin Liu: Thank you.
Operator: Thank you for all the questions. This concludes the Q&A session. I will now hand back to our CEO, Yumin Liu.
Yumin Liu: Thank you, operator. The global transition to renewable energy continues to accelerate, creating strong tailwinds for solar and energy storage. With disciplined execution, a solid contracted revenue base, and a growing presence in high-margin segments, we are well-positioned for sustained growth. As we enter 2025, we remain focused on executing our strategy across DSA, IPP, and energy storage, reinforcing our leadership in the sector. Backed by a strong financial foundation and a commitment to innovation, we are confident in our ability to seize new opportunities, drive long-term value creation, and deliver meaningful returns for our shareholders. Thank you, operator.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.